Operator: Ladies and gentlemen, thank you for standing by. And welcome to the FIS Fourth Quarter 2020 Earnings Call. At this time, all participants are in a listen-only mode. After the speaker presentation, there will be a question-and-answer session.  Please be advised, that today's conference is being recorded. .
Nathan Rozof: Thank you. Good morning. And thanks to everyone for joining us today for the FIS fourth quarter and full-year 2020 earnings conference all. The call is being webcasted. Today's news Today's news release, corresponding presentation, and webcast are all available on our website at fisglobal.com. Gary Norcross, our Chairman, President and CEO; will discuss our operating performance and share our strategy to continued accelerating revenue growth and maximizing shareholder value. Woody Woodall, our Chief Financial Officer; will then review our financial results, and provide forward guidance. Bruce Lowthers, President of Banking and Merchant Solutions; will also be joining the call today for the Q&A portion. Turning to Slide 3. Today's remarks will contain forward-looking statements. These statements are subject to risks and uncertainties as described in the press release and other filings with the SEC. The company undertakes no obligation to update any forward-looking statements whether as a result of new information, future events or otherwise, except as required by law. Please refer to the safe harbor language. Also, throughout this conference call, we will be presenting non-GAAP information, including adjusted EBITDA, adjusted net earnings, adjusted net earnings per share and free cash flow. These are very important financial performance measures for the company but are not financial measures as defined by GAAP. Reconciliation of our non-GAAP information to the GAAP financial information are presented in our earnings release. With that, I'll turn the call over to Gary, who will begin his remarks on Slide 5.
Gary Norcross: Thank you, Nate. Good morning and thank you for joining us. I'm pleased to announce our fourth quarter and full year results starting on Slide 5. 2020 was an unprecedented year for the world and for FIS. With the COVID-19 pandemic impacting the world on a human as well as on economic level. Despite the extraordinary year, we leveraged our scale and resources to keep the global economy running while delivering solid results. We generated $12.6 billion dollars in revenue as our balanced solution portfolio allowed us to offset weaker consumer spending trends with strong demand for our Banking Capital Market Solutions. As we close out 2020, all three of our business segments ended the year with record annual sales. Continue to improve that our solutions and technologies are winning share around the globe. Our backlog grew 7% organically to $22 billion. This gives us exceptional visibility into our future growth trajectory and drives our confidence in accelerating organic revenue growth for our Banking and Capital Market segments. From a merchant perspective given the accelerating rollout of COVID vaccines globally and improving trends and economic indicators, we are confident we will see strong merchant revenue acceleration throughout 2021. Our team continues to execute at the highest level as demonstrated by our ability to expand adjusted EBITDA margins by 120 basis points for the full year, despite near-term COVID challenges. We also made great progress with the Worldpay integration remaining well ahead of plan and exited the year generating more than $200 million in revenue synergies, and more than $750 million in cost synergies. With this impressive momentum, we are excited to build on our strengths as we look ahead to accelerating organic revenue growth in 2021.
Woody Woodall: Thanks, Gary. And thank you all for joining us. Starting on Slide 11, I will touch on our 4th quarter results before transitioning to our forward guidance. We remain excited about the trajectory of our Banking and Capital Market segments and look forward to significantly rebound in growth in our merchant segment as global economies reopen. On a consolidated basis, organic growth was flat during the fourth quarter and adjusted EBITDA margins expanded by 60 basis points to generate adjusted EPS of $1.62. We expect to exit 2021 generated $400 million of run rate revenue synergies based on strong client demand for our premium payback solution, growing distribution with new bank referral partners as well as geographic expansion and cross sell initiatives across the enterprise. These revenue synergies will help supplement our organic revenue growth profile giving us increased confidence in achieving 79% organic revenue growth on a sustained basis. We also have line of sight to execute an additional $100 million of operating cost synergies, bringing net total to $500 million exiting 2021 or 125% of the original OpEx target.
Operator:  Our first question will come from Jason Kupferberg with Bank of America. Please go ahead.
Jason Kupferberg: Hey, good morning, guys. Thanks for sharing some of the Merchant volume data. I think it clearly shows that there is no signs of market share loss here. But I wanted to actually start with the question on the banking segment, obviously it's still your largest segment. And I wanted to just get a sense of your conviction level in the growth acceleration path for Banking during this year, what are the potential risks there and any year-over-year comp issues around termination fees or other dynamics, we should be aware of aside from obviously the lumpiness and the transaction based portion of that business?
Gary Norcross: Yes, Jason. Gary here. That's a great question. We're very confident and accelerating growth in the banking channel. It's clear, when you look at the backlog, you've seen acceleration over the last several quarters, which is a testament to our -- to the sales engine closing a business. So now as we enter into this year, it's really all about implementing that backlog and getting it stood up. I thought it was important to let everybody know that for example, the Modern Banking Platform, we had three deals already go live this year, which is a good testament of that platform. It's now end market processing. Obviously we've got a lot of sales behind that, that are in the implementation cycle and continue to progress. But we feel good about where we are, we're not, it's hard to predict termination fees at this point, but we see no indications that we're going to challenge this with termination fees or growing over a termination fee. So I think it's just going to be good execution on behalf of Banking through the implementation channel. Obviously, we want to continue to have our sales engine, continue to add into that backlog, so that growth acceleration maintains going into 2022, but we feel good about 2021.
Woody Woodall: Jason, to add a little color on the cadence of the year. We anticipate Q1 to continue to accelerate off of Q4 and continue to see solid growth each quarter over the course of 2021.
Jason Kupferberg: Okay. And then just for my follow-up, Woody, just maybe two clarifications for you. First off, have you factored any of the share buyback into the EPS guidance for the year, because it looks like the full-year share count outlook is actually up from what you just reported. And then could you just run us through the first quarter segment level growth expectations. Thanks, guys.
Woody Woodall: Yes. We have not factored in share repurchase into the EPS, that's an upside opportunity as we go into market over the course of the year. We think we'll be in market over the entire span of 2021. And we'll continue to pay back debt as well to meet year-end leverage below three turns, but anticipate absolutely driving share repurchase over the course of the year and if not in the EPS guide right now, Jason. Along with the segment guide, you're looking at capital markets, having a difficult comp in Q1 and then seeing significant growth over the remainder of the year, we anticipate merchant revenue to be roughly flat for Q1 this year with accelerating growth, heavy acceleration in Q2 and ongoing acceleration as we lap COVID pandemic comps.
Jason Kupferberg: Thank you.
Operator: Thank you. Our next question will come from George Mihalos with Cowen. Please go ahead.
George Mihalos: Hey, good morning, guys and thank you for taking my questions. I wanted to start off with sort of high level question maybe for Gary and for Bruce. And that's just when you look at the banking segment and you highlighted cloud-native technology that you're going to market with, maybe you can just kind of explain to us cloud-native versus cloud-enabled, what does that differentiate for you in the eyes of your customers, what are you able to deliver, whether it be faster or more of that would be a differentiator. And then maybe related to that, as you look at the landscape of newer competitors in the market, has that changed at all in terms of the competitive landscape and maybe their ability to sort of move upstream to larger customers?
Gary Norcross: Yes, George. A great question and I'll start and then I'll turn it over to Bruce. I think you're hitting a very important point. We were well ahead of the cloud migration as you remember going back five years ago, where we started moving and enabling our capabilities in the cloud and taking advantage of that. And the advantage in the market was certainly resiliency, availability, speed, etcetera. A big advantage to us was lowering our overall cost. We then started three years ago of building cloud-native applications to sit on the technology framework. And what you're seeing there is a totally different paradigm shift and you are starting to see some start-ups in the market, but I would say we're well ahead, whether it's our Modern Banking Platform, our Code Connect platform, Our Digital One all of those are about enabling speed, lowering overall cost being able to deploy in more componentized architecture and really take advantage of the cloud.
Bruce Lowthers: Yes, I would just add on. I think it's right. It's been an evolution for us over the last few years, as Gary just stated. And the benefit for us has been able to drive more product into market and you can see those new products coming to market are fueling our growth rate.
George Mihalos: That's great color. Just a quick follow-up on the M&A side. Gary, there are a lot of assets out there. Is FIS willing to do sort of a larger acquisition that will accelerate revenue growth, but might be dilutive to earnings over the near term and then just how are you thinking about targets, whether they be on the merchant side or the banking side?
Gary Norcross: Yes, I think it's a great question. And I think Woody tried to address that and some of the capital allocation in the prepared remarks. As you think about it M&A is going to continue to be important pillar in our strategy. We're going to continue to look for things that will accelerate our growth further from where we are today. Large transformational M&A where we think we're extremely good at integrating those kind of companies. You see the success rate we've had now with well over $740 million of cost out of Worldpay and over $200 million in revenue at this point. So, we think there is a way to drive scale and drive complements to that. As we think about it, our aperture can be pretty wide. Our diversification of revenues, an important differentiator for us. You've seen us actually do very well against our peer group in the middle of a COVID, in the middle of the pandemic, which is all due to that diversification of revenue. So opening our aperture and looking for things that may be could drive those kind of benefits, I just described would be important. But we -- also to Bruce's point earlier given our investment in innovation, given our investment in technology, our ability to launch new product and capability, we don't have to do M&A, to continue to grow. But if we could find some that accelerates our growth, brings the necessary scale that we're looking for, additive scale, that's our ability to take out costs integrate that company absolutely we would do another M&A transaction.
George Mihalos: Thank you.
Operator: Thank you. Our next question will come from Darrin Peller with Wolfe Research. Please go ahead.
Darrin Peller: All right. Hey, thanks guys. Your margins targets are back to what you said they would be when you pretty much announced the deal with Worldpay at 45%. And so we get a lot of questions on where margin should be given the scale on operating leverage in the business combined with versus investments you're making. So I love to talk through, first of all, the areas of focus of investments you want to make this year. And then going forward, make sure we're still back on track Woody I think he said before or Gary, maybe you said earlier that you'd expand margins in years after. Is it back to that 50 to 100 basis points type model of margin expansion going forward? And then maybe again just really focusing on where you guys plan to layout incremental dollars for investments throughout this year and next?
Woody Woodall: Yes, thanks. I'll touch on the margin profile beyond 2021. You're right, we're seeing significant operating leverage in the business as we anticipated, as we see revenue rebound. Again that's roughly 300 to 350 bps. We are seeing incremental synergies driving us up another 150 basis points with some headwind across the short-term cost actions that we have within the operating leverage component there is some incremental investment there to drive the sustained growth. If you look beyond 2021 I think you're right, we're more back into a roughly 50 to 100 basis points a year of annual margin expansion that we feel good about based on ongoing initiatives operating leverage within the business and continued focus on cost initiatives to take cost out of the business long-term.
Gary Norcross: Yes, and let me add a little color on that, Darren. I mean if you think about our investment strategy, we obviously have concluded data center consolidation, which was very successful and we've talked about that a lot. Now it's our opportunity to really move to the next evolution of our technology. And so as Woody talked about, we'll be investing in our businesses not only a new product that actually Bruce brought up and deploying more new products faster in the market, which is going to be very important. We have a really unique opportunity to now start consolidating our platforms and getting significant cost down. So we're very confident and continue to accelerate that 50 bps and 100 bps beyond this year, all while maintaining what we would view is really industry-leading investment back in innovation and growth. And so we've been able to maintain that balance throughout the data center consolidation and we would expect that to be no different with this next wave, but very comfortable and continued margin expansion on an ongoing basis.
Darrin Peller: Okay. And just one quick follow-up to George's question before take away. When we think about M&A versus capital allocation, you guys obviously moved your thresholds to three turns at the end of the year for that, which gives you more flexibility on buybacks this year. Is that a signal that we're hanging tight a little bit on buybacks -- I'm sorry on M&A rather or I know you mentioned you're looking for potentially both types of growth you're talking, but also large transformational? What would you prefer, Gary, would it really be to do a large transformational given  is good at that or do you have any preference? Thanks, guys.
Gary Norcross: I think our preference would be the one that drives the most shareholder value at the end of the day, right? Something that fills the gap and our capability, brings the necessary scale that we would need in a particular area that we're focused on. I think that can be translated into whether it's tuck-in or large transformational M&A. I also would tell you we also, we've been pretty disciplined in our approach over the years, right. So this is not a company that has to do M&A, in order to continue to grow and accelerate. And you see that with our guide. When we did the Worldpay combination, we got into 79% growth. And this year we're going to be in that range and obviously, we feel comfortable we can maintain in that range going even into 2022 and beyond with margin expansion based on things we've talked about. So, we'll continue to look at things that makes sense for the company. Things that drive scale, things that fill in product, things that we see perhaps that market is moving in a direction where we think doing some type of M&A activity will be faster and thus building it ourselves, all of that will be taken into consideration and making sure that it drives the appropriate shareholder returns.
Darrin Peller: All right, that makes sense. Thanks, guys.
Operator: Thank you. Our next question will come from David Togut with Evercore ISI.
David Togut: Thank you. Good morning, Gary and Woody.
Gary Norcross: Good morning, David.
David Togut: Can you give us a sense of how you expect Q2 to Q4 to play out both in Banking in Merchant Solutions? When we think about the underlying drivers for example in merchant of yield, where you've been a little challenge given the pressure on the smaller merchants. So yield T&E, how that might play out through the year, particularly travel and any other factors for merchant? And then, taking through banking solutions. Can you give us a sense of when some of these big deals might convert by quarter, you called though $100 million in MBP revenue expected, and any thoughts on sort of demand in Banking Solutions on kind of the cross-sell and up-sell side would also be appreciated?
Woody Woodall: Yes, I'll touch on the cadence of the growth there, David. And then, we can touch on the MBP impact as well. We anticipate significant growth, particularly in Merchant, in Q2, as we lap with impacts. We anticipate the mix to flip the other way, as we've talked about before, and we see volumes coming back in the discretionary areas and in travel and airlines to improve. We certainly do not have travel and airlines at the same pre-COVID levels throughout 2021. We think it will take into 2022 before that actually goes back a 100%, but certainly see outsized growth expectations in merchant in Q2 and Q3 and Q4 of 2021. The remainder of the business, banking again we anticipate acceleration of Q4 into Q1 and then continue to see good solid growth in each quarter. And then Capital Markets we anticipate actually to accelerate over the course of the year with a difficult comp in the first quarter. And then second and third quarter to move on. If you think about the cadence of EPS for the year, as we've outlined the information around Q1 versus consensus estimates, obviously we think consensus estimates are a little too high for Q1. We think, Q2 and Q3 are roughly in line and Q3 is a little low. To give you sort of a full cadence of the year -- for -- Q4 were a little low, excuse me; so that's a little bit of there. MBP we have converted three customers that are live now. And we do anticipate it to drive $100 million of revenue in 2021 and we continue to work through the conversions of additional sales that we made throughout 2020.
Gary Norcross: Bruce, why don't you take that?
Bruce Lowthers: Just adding on to Woody's comment from a demand perspective, around the MBP in particular and banking as a whole. We continue to see excellent demand for MBP, as our qualified pipeline is doubled coming out of the year. And so, we really see a lot of activity in this space. Certainly in the large bank category. So, we feel very positive about continuing momentum in MBP. And then on the cross-sell, again I think as Gary mentioned early on in the call, it was a record sales year for the Group in Banking, actually in all three segments. And we are continuing to see a lot of opportunities and a lot of success really driving our synergy numbers as well. So a great pipeline for cross-sell.
Gary Norcross: Yes significant indicator of that, David, was I mentioned in the Top 100 financial institutions. We saw a 23% increase in cross-sell, that's significant for the, for the year. And continuing to see that from a pipeline standpoint. So obviously we've really differentiate ourself in the large end of the market in Banking. And that level of cross-sell given the product, new product capability that Bruce and the team are bringing online is, it continues to be very important indicator.
David Togut: Understood. Thank you very much.
Gary Norcross: Thank you.
Operator: Thank you. Our next question will come from Dave Koning with Baird. Please go ahead.
Dave Koning: Yes. Hey, guys, thanks so much. And I guess my first question just revenue last quarter, I think in merchant was down mid-single digits, it's kind of on a core normalized basis, and it went to negative 9, but volume actually accelerated from 2% to 4% and like you said that's very much market growth in volume. Why did that gap widen? Was there something in Q4 specifically that just that moved towards high -- away from high yielding merchants. Just kind of accelerated in that quarter?
Gary Norcross: Yes, I think, two things really rolled into the fourth quarter, Dave, where volume in non-discretionary continue to increase, which carries a lower yield as we described in the prepared materials. The combination of lower travel into Q4, which we saw even lower travel into Q4 and the very tight lockdown in the UK, which impacted retail and restaurant in the UK, certainly we saw impact from that in the fourth quarter that continues to show that separation. If you remember, we saw yields in the second quarter, move away from volumes. We saw those come back some in the third quarters as economy reopened. And then as you saw lockdowns go back in place in fourth quarter, we saw yields diverge again. So certainly a trend around that that we're seeing at this point can kind of predict and get some expectations around. I think at the end of the day, it's around when do the economies reopen and certainly either way we are going to lap the COVID items by the end of March this year, regardless. You're going to see easier comps over the remainder of the year. No matter how fast the vaccine.
Dave Koning: Got you. Thanks for that. And then the second question. This is kind of two parts, are both short. But what moved out of Banking and Capital Markets into corporate and then secondly margin by segment this year, our cap markets and banking kind of normal 50 bps to 100 bps of expansion and merchant up like 500 bps, 600 bps, is that kind of how we should think of it?
Woody Woodall: Yes, a couple of things in there. We did move a couple of things that are non-strategic force in the corporate and other. Think about look like in the ATM business, for example, the one area and then markets had a smaller piece that was put over in there. We anticipate either selling or winding down those businesses as they don't fit long-term strategically or structurally not as solid as a reminder of the business. It's about 3% of total revenue. It is anticipated the impact 2021 organic growth, a very small amount less than half a point. With regard to the margins, you're right we anticipate good solid margin growth in both banking and cap markets over the course of the year with obviously outsized margin expansion in the merchant business.
Dave Koning: Great. Thanks, guys.
Operator: Thank you. Our next question will come from Tien-Tsin Huang with JPMorgan. Please go ahead.
Tien-Tsin Huang: Thanks so much. Good morning. You covered a lot of stuff here. I just wanted to ask about merchant. As the world reopens here and we see new business formation come back, do you feel confident, they have the right distribution channels to capture the shift in where the merchants are going, seems to be a shift for example to marketplaces and software led sales and integrated payments and that kind of thing. Do you think you have enough muscle in those areas as we reopen?
Gary Norcross: Tien-Tsin, I think it's a great question. I think we actually do have good muscle in that space. We've done a really nice job increasing our direct sales force. We also had a lot of success last year, increasing our partner-led sales. I mean a lot of our partner growth areas were up 4 times and 5 times over the prior years whether that's banking referral or even some of our ISD referral programs which will pay huge dividends to us going into the recovery. But I think we're well positioned to take advantage of it. We also have made a lot of investments in our technology as well, which really allows for more rapid onboarding of merchants. So all of those things would be a great indicators of us being in really good position on the recovery.
Tien-Tsin Huang: Okay, great. And just a quick follow-up, then just with all the retail trading going on that we've seen recently, any impact to your capital markets business and also just a clarification on the margin side, are we capturing an unusual amount of implementation cost this year on margin that you might get relief from next year, Just want to make sure I caught that, sorry for two quick follow-ups. Thank you.
Gary Norcross: Yes, I don't think you're seeing an impact on the trading side of any significance based on recent activity there. And then on the margin side, a number of those implementation dollars get capitalized in the balance sheet and amortize back off over time. So we're not -- we don't anticipate a significant lift up associated with that. It will be more in that normal 50 basis points to 100 basis points a year in ordinary course of operating leverage and focused cost reduction.
Tien-Tsin Huang: Thank you.
Operator: Thank you. Our next question will come from Ashwin Shirvaikar with Citi. Please go ahead.
Ashwin Shirvaikar: Hi, thank you. So my question is first of all on overall growth. In 4Q talking about the 7 to 9 expectation, the organic expectation now is 8 to 9. And as I look at it is potential underlying improvements that the 4Q results which result in a two-based mining, there is -- you're excluding I think corporate now from the baseline definition and there is FX. So can you walk through the breakout of what changed? And as for the underlying improvements part of it, maybe perhaps you can even break down what's coming from better synergies versus net new sales?
Gary Norcross: Yes, I think you got a combination of things there Ashwin. First and foremost, the new sales we've been talking about from banking and the growth in the backlog is what's driving us to accelerating growth expectations in that segment into the mid to high single digits. We outlined ad accelerated expectation for Q4 and delivered on that. As I described earlier in the call, we anticipate continued acceleration over the remainder of the year. So that's pretty solid there. We've got a difficult comp in cap markets, but we anticipate accelerating growth into the mid-to-high, -- sorry, low-to-mid single digits in cap markets with accelerating growth over the remainder of the year. I think that is a combination of the SaaS story we've been talking about, where we're seeing more visibility into the revenue and less license sales and ongoing SaaS-based subscription type revenue in the capital markets group. And then merchant, obviously, we're looking at a COVID rebound as we lap comps and we continue to see economies reopen and some of the volumes come back. If you look at the corporate and other component, again, it's about 3% of overall revenue. The impact of that moving in there is less than half a point actually of 2021. So very minuscule impact, but we are going to look to monetize and/or wind down some of those things that just aren't going to be a strategic fit on a go-forward basis.
Ashwin Shirvaikar: Got it. And then on the merchant piece, are you actually incorporating a second half rebound in travel, retail, restaurants, the discretionary part or is that kind of the upside on the range. And as that comes back, the flip of that question on the margin side is, could you talk a little bit about how we should think about yield progression through the course of the year?
Gary Norcross: Yes, we do anticipate some rebound on some of the discretionary verticals that we mentioned in the material. We do not see travel coming back 100% in 2021. We've got that kind of model back into 2022 being sort of back at pre-COVID levels. We certainly do anticipate restaurant and retail due to come back over the course of the year, with obviously seen Q2 probably with the highest level of growth, because it's the easiest comp based on what happened last year in Q2. So, yes, we have an expectation of it growing in there Ashwin, but I wouldn't say that that's what gets us to the high-end or the low end of the range, but it certainly is an area that we got to continue to monitor over the course of the year. But we do have modeled in obviously rebound from coming into Q2, Q3 and Q4 next year -- this year, excuse me.
Ashwin Shirvaikar: Got it. Thank you for all the color, this is great. Thanks.
Operator: Thank you. Our next question will come from Matt O'Neill with Goldman Sachs. Please go ahead.
Matt O'Neill: Yes, hi, good morning gentlemen. Thanks for taking my question. I was hoping we could follow-up on David's question a little bit more specifically on the Modern Banking Platform. CF3  that are now live and you're expecting $100 million in revenue for 2021, can you just parse for us, if the $100 million explicitly from those three that are live or does it incorporate additional wins that have been announced, but haven't yet gone live in that number. And then, can you also just give us a little bit of the high level kind of glide path talking about and just remind us again how you kind of get started with the modern banking win. And then what the longer term kind of cross-sell and up-sell opportunities look like, and if there's been any sort of traction with that obviously, understanding or we're only with three live and kind of in the first year here?
Woody Woodall: I'll take the revenue question and then let Gary and Bruce kind of chime in on the -- on model around it. With regard to the $100 million we talked about, certainly includes the three that are live now, but would also include some level of expectation of conversion over the course of the year of previous sales that we made throughout 2020. So there is a ramping, if you will, of the MBP over the course of 2021.
Gary Norcross: Yes, now, I think, that's exactly right. I mean, basically, if you look at the $100 million commitment, what we're seeing is a steady ramp over the year with implementations, well also as Bruce talked about, our backlogs more than doubled on that front. So being able to drive additional sales. The nice thing about the business being reoccurring in nature, you'll grow from there right going into 2022, so it will continue to accelerate with more pipeline being added. From a cross-sell standpoint, you want to take that, Bruce.
Bruce Lowthers: Yes, it's just like all of our core platforms that really is the center of a lot of our cross-sell activity. So MBP will follow that same trend where we have the opportunity to sell digital front-ends to the application and we'll have a whole suite of products. We have over 20 products on average with our core customers today. We expect that we'll be able to continue to drive new product into those MBP clients.
Gary Norcross: Yes, I mean, just to build on that, we talked about it in prior calls, our focus on the lending side over the next several years, we build these solutions in a very agile way as you would expect, being a modern technology being cloud-native. And so, the reality is, we did make our first drop on our unsecured lending. So we're starting to build out those capabilities. So that will also be a cross-sell opportunity in the back half of this year and going into 2022. But to Bruce's point keep in mind that becomes the center of all of our cross-sell to drive our back office services, some of our red-tag  capabilities and the list goes on and on and on. And as you've seen, last year we saw a huge increase once again in our top 100 cross-sells at 23%.
Matt O'Neill: Got it. Thanks very much. As a quick follow-up to that, are these predominantly from banks that had been in-sourced or competitive takeaways or a good mix?
Gary Norcross: Yes, right now early on we consistently see the early adopters and we want to make sure that, everybody understands, we're just getting started on this. Right. So as you start thinking about people really moving the cloud-native core banking, a lot of it has been either on in-house built systems or very, very old legacy technology today. What we're starting to see together in the pipeline is, as we get launch now with some of the customers, you've got another wave of people now really starting to evaluate existing technology there on that would be more, more modern in nature, but still not cloud-native and taking advantage of that. But the early adopters, have been primarily coming off more in-house developed systems are systems that are multiple decades old.
Matt O'Neill: That makes sense. Thanks so much. I'll hop back in the queue.
Gary Norcross: All right, thank you.
Operator: Thank you. Our next question will come from Timothy Chiodo with Credit Suisse. Please go ahead.
Timothy Chiodo: Thanks a lot for taking the question. We've covered a lot of great ground here. I want to see if we can shift gears over to Premium payback. So clearly that was one of the earlier and larger revenue synergies. It sounds like you're making great progress there. You've announced Walgreens, BP, PayPal. Maybe you could just give us a brief update on how that program is doing? Maybe size the revenue contribution expected for 2021 would appreciate any added context there?
Bruce Lowthers: Yes, this is Bruce. I'll just jump in on the overall program, and I'll leave kind of revenue to Woody, but the program itself continues to see a lot of positive momentum. So we continue to see a very, very strong pipeline. I think the only impact to premium has been through COVID right. So it is a transaction that is driven by retail purchase. So COVID is going to have some impact there. But we expect that product to really rocket forward and continue to move. It's really met as delight right, it's the customer's delight, the retailers delight, and the financial institutions. It's just a positive win for all three. There is very few products that kind of come to market that have that kind of success.
Woody Woodall: We haven't given a specific number around the product related revenue for competitive reasons, but I can tell you, it's built into the confidence level we have in the acceleration of revenue synergies up to $400 million exiting 2021 absolutely.
Timothy Chiodo: All right, great. And the brief follow-up is still related to Premium payback. Could you just talk a little bit about how that mix could evolve in terms of in-store and e-com clearly PayPal being a partner helps with that, but anything you could talk around how we could start to see that show up on websites, a little bit more?
Woody Woodall: Yes. So as we move forward with Premium payback, it really was not designed to be necessarily in store or online. It was really just about, as I said, a kind of a surprising delight for consumer that it shows up at the checkout and allows you to pay for a portion of your transaction through the points that you've aggregated. And it's really bringing financial assets that were hard to get access to and bring those to the consumer, allow them to monetize those assets that they've acquired over time. And so whether it's online through someone like PayPal or some of our e-com clients or in-store at the end of the day, it really doesn't matter. It just shows up at the point of sale or whatever that may be, whether it's your mobile phone or in-store, and again it's really the surprising delight that consumers love about it.
Timothy Chiodo: All right, great. Thank you for that context.
Operator: Thank you. And today's final question will come from Brett Huff with Stephens. Please go ahead.
Brett Huff: Good morning, Gary, Woody, Bruce and Nate, hope you're all well?
Gary Norcross: Hey, Brett.
Nathan Rozof: Hey, Brett. We're doing great.
Brett Huff: Good. Two questions, one, I just want to make sure and all the commentary on the growth, Woody, that you gave us that kind of mid-point is call it 50 basis points above the long-term growth. I'm trying to sort through the puts and takes. I understand that some has moved into corporate and that may have given us a little benefit of growth. But also I'm trying to figure out where beyond that is the above kind of long-term growth. Is that more an easy comp, from a merchant point of view or is it more confidence in the Banking and Modern Banking Platform? As you guys sat and thought about how do we got, what dodged over the long-term kind of ranges, or mid-point and that's a little higher?
Woody Woodall: Yes, I think, first of all, the impact of moving some stuff in the corporate and other was a less than half a point, it's not much at all in terms of our expectation. I would tell you that our confidence level is really in banking and the backlog around banking and seeing it accelerate. We've moved that up to mid-to-high single digits. And you saw 5% in Q4, we anticipate that accelerate into Q1. So I think that moving in the mid-to-high single digit is a good bit of the confidence. Previously too we have talked about cap markets in the low single digits. We've actually kind of moved that up slightly into low-to-mid single digits. So we anticipate cap markets to see better growth than historical this year as well. So, I think those are the two biggest items that have kind of moved our confidence level up from the 7 to 9 to 8 to 9 specific '21 guide versus outsized merchant. Merchant we just anticipate mid-to-upper teens and it could be higher than that if we see rebound faster. We don't anticipate anything below mid-teens out of merchant this year in any scenario that we have.
Brett Huff: Great. Just a bigger picture follow up. You guys talked a little bit about the need to continue investing organically, and Gary, you mentioned over the last few calls that dumping a lot of money into the modern banking platform that new SaaS technology, it seems like the price tag of competing effectively in bank tech and payments is going up. And so there is a bit of an arms race. As you guys think about the capital intensity of the business and that 50 basis points to 100 basis points kind of big picture, margin expansion, how do we balance participating in that arms race and winning an arms race along with still meeting to -- still wanting to drive some of those scale advantages and showing that margin expansion to investors?
Gary Norcross: Well, honestly, Brett. I think it's a great question. I think you know whether it's an arm race or not. I hope, what you're seeing is FIS is leading that. We started our cloud-based deployments five years ago. And at this point in time, we're well in excess of 70% of all of our compute now on the cloud, and that'll trend over 80% whole here over the first half of this year. If you look at our investment Woody highlighted almost $1 billion of capital a year. Keep in mind that is driving 60 new products in market, Modern Banking Platform, retooling our payments one initiatives, Digital One, cloud-native Omnichannel platform on deployment as well as all the things we're doing in Capital Markets in Merchant with our Access Worldpay gateway and others and also NAV conversion. So I think we're balancing it very well and we're doing that because these new technologies not only allow you to compete on the revenue front, they should and will drive cost out, right. If you're start driving true AI into your organization, you're going to eliminate costs. There's no way around it. If you automate, you're going to eliminate cost. And so our balance that we've done over the last several years as we went through the cloud migration that's now complete, we're doing the exact same thing with our platform rationalization as well as the exact same thing with new product launches, all while balancing. But we think we're in a really good position with about 8% of our revenue being deployed back in the Capital. Keep in mind, also as Woody talked about our free cash flow converting. We will have our debt competitive reloaded by the end of this year. No sense paying our debt structure down faster, so that you can give us additional capital to deploy across our strategy, whether it's increasing share buybacks, whether it's increasing M&A or whether it's increasing new product capabilities to continue to drive our organic revenue growth in those upper single digits and then moving from there.
Brett Huff: Great. I appreciate the perspective, guys.
Operator: Thank you. Ladies and gentlemen, thank you for participating in today's question-and-answer session. I would now like to turn the call back over to management for any closing remarks.
Gary Norcross: Thank you. I want to provide some closing thoughts before we end the call. While the one-year anniversary of the COVID-19 pandemic isn't something we may celebrate with joy, I strongly believe there are reasons to applaud our collective perseverance and our passion for standing up and doing what's right. In this same time period dominated by daily challenges of the virus, we stretched ourselves to evolve, to think, and deliver differently. At FIS, we took these challenges head-on and I firmly believe that we are a stronger, more resilient company from where we were a year ago. As the backbone to the global financial ecosystem, we ensure that transactions and accounts, continue to be processed 24/7, while we re-imagined our system implementation processes, enabling us to implement systems in a 100% virtual environment. We rapidly implemented a real time lending platform for our financial institution clients, streamlining and speeding the processing of more than 225,000 PPP approved loan under the CARES Act. So far in 2021, we've expanded our reach and successfully processed nearly $8 billion of PPP loan applications for more than 68,000 US merchants and small businesses. We also manage to rollout and distribution of expanded EBT benefits under snap and 28 US states and territories helping over 10 million children. Just as important, we double down on our commitments to support our communities by executing global get back programs, to know PP&E equipment and prepaid cards to support our front-line healthcare workers. We also recognize our responsibility to push for sustained social change both domestically and globally. As you have heard us mentioned before, increasing inclusion and diversity financial inclusion and climate change initiatives are important goals for all of us at FIS. Building an environment that enables our colleagues, clients, and communities to thrive demonstrates how we are leveraging our technology and innovation that scale to create lasting change that benefits everyone. To our colleagues, thank you for all your hard work and ongoing commitment to our clients, communities and each other. And for everyone else on the call thank you for joining us today and for your ongoing support. If you have any follow-up questions, please reach out to our Investor Relationship team. This concludes our Q4 earnings call. Have a great day.
Operator: Ladies and gentlemen. This concludes today's conference call. Thank you for your participation. You may now disconnect.